Operator: Good afternoon and welcome to today's Noodles & Company Third Quarter 2014 Earnings Conference Call. All participants are now in a listen-only mode. After the presenters' remarks, there will be a question-and-answer session. As a reminder, this call is being recorded. I'll now introduce your Noodles &Company's Chief Financial Officer, Dave Boennighausen. You may begin.
Dave Boennighausen: Thank you, Ashley and good afternoon everyone and welcome to our third quarter 2014 earnings call. Here with me this afternoon are; Kevin Reddy our Chairman, Chief Executive Officer; and Keith Kinsey, our President, Chief Operating Officer. Let me start by going over a few regulatory matters. I'd like to note that during our opening remarks and in response to your questions we may make forward-looking statements regarding future events or the future financial performance for the company. Any such items, including targeted results for 2014 and 2015 and details relating to our future performance should be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are only projections and actual events or results could differ materially from those projections due to a number of risks and uncertainties. I refer you to the documents the Company files from time to time with the Securities and Exchange Commission, specifically the Company's Annual Report on Form 10-K for its 2013 fiscal year. This document contains and identifies important factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. Now, I'd like to turn the call over to Kevin.
Kevin Reddy: Thanks, Dave and good afternoon. We made significant progress in several key initiatives during the third quarter that will benefit our business today and into the future. As a result of these initiatives, we've returned to delivering positive comparable restaurant sales of 1.6% for the third quarter. As you are aware, Noodles & Company is in the early stages of a growth story that we believe will result in at least 2,500 restaurants nationwide. We supported this growth with the opening of 15 new restaurants in the third quarter, including successful openings in key new metropolitan markets, such as the San Francisco Bay Area and Philadelphia. As we've discussed in the past, a powerful element of the Noodles & Company story is our success over the years despite the challenges of low brand awareness nationally and in many of our newer markets. Our highest volume restaurants can be found throughout the country and in all types of trade areas, whether Central Business District locations, suburban restaurants, or smaller towns. The largest factor distinguishing our highest performing restaurants has ultimately been our level of brand awareness, and during the third quarter we made investments in both catering and marketing initiatives that will help build that awareness over the long term. I would first like to discuss catering. We completed our nationwide rollout on schedule during the last half of third quarter. As you know, there is substantial demand for catering in the restaurant industry and our guests have repeatedly asked for it over the years. We believe that our catering offering is highly differentiated in the marketplace, highlighted by the breadth and variety of our menu, which offers something for everyone, from our spicy Indonesian peanut sauté, to the award-winning macaroni and cheese, to our great line of healthy soups, salads, and whole-grain pasta choices. In fact, just a few weeks ago, Health Magazine again selected us as one of the five healthiest restaurant chains in the United States. While there is strong demand from our existing Noodles & Company guests, one of the most powerful elements of our catering program is its ability to introduce the brand to new guests in a way that showcases the strengths of the brand and matches the same high standards for food quality that we serve inside our restaurants. Thus far, our average catering order has been between 40 and 50 guests with approximately half of those guests experiencing Noodles & Company for the first time. Catering is a tremendous opportunity to build brand awareness and lifelong fans of the brand; and during the third quarter, we invested in promoting that platform to help accelerate this trial. We continue to believe that catering will contribute between 1% to 1.5% of sales in top line during the fourth quarter, a figure which we believe will grow over the years. Moreover, our separate Square Bowl program, which is intended for smaller groups as well as family takeout, has been in our restaurants for several years, continues to grow, reaching 1.4% of sales during the third quarter, a significant increase from the same timeframe last year as it further benefited from our marketing efforts in catering. Our investments in promoting our catering offering has gone hand-in-hand with our overall investment in marketing during the third quarter. In Q3, we tested multiple advertising platforms and messages to help us understand how we can better communicate the brand to new and existing guests alike. As you know, we have historically spent considerably less on advertising than many of our national competitors, and the investments during the third quarter have already taught us several lessons as we slowly and deliberately increase our share of voice in spending. While it is still too early to assess the sustained lift from our campaign, which was primarily digital, we are pleased with its efficacy in driving impressions and awareness and ultimately trial into our restaurants. While our investments in catering and marketing put temporary pressure on margins during the third quarter, we believe they are important elements of building the brand that will benefit us over the years to come, and Dave will cover that in more detail. But these investments as well as our Biannual All Manager Summit resulted in nearly $0.03 of EPS pressure, without which, we would have achieved nearly 15% EPS growth for the quarter. I would now like to give an update on a couple items we discussed during the last earnings call. As we mentioned last quarter, we have a significant number of restaurants located in the mid-Atlantic region and specifically the D.C. Metro area. We have been in the D.C. metro area for 12 years and in terms of average unit volumes, it continues to be one of our strongest markets. However, from a comparable restaurant sales perspective, the market has been challenging for the restaurant industry and us in recent quarters. I'm pleased to report that we have seen significant improvement in our restaurants sales in the D.C. Metro area over the past several weeks leading up to this call, as our marketing and operations efforts have begun to gain traction. And the market is now only slightly trailing the pace of the balance of the rest of the Company. As we have noted in our last call, we were saying softness in our family dining occasions. We believe that this is primarily influenced by traffic patterns around our location to anchored by more traditional retailers who are being impacted by the shift to online retailing, both during the research and the purchase process. In the third quarter, we feel that we made progress with these occasions by focusing on catering with local schools, sports teams, as well as within targeted marketing campaigns that have been successful for us in other trading areas. Noodles & Company on a whole has a long track record of consistent unit, comparable restaurant sales and earnings growth. Our restaurant pipeline and new unit performance remain strong, as Keith will discuss in a bit; and we have increased confidence in our ability to successfully penetrate markets throughout the country. While our sales and earnings growth has been softer in 2014 than anticipated, there was clearly progress during the recent third quarter. This progress, along with our investments and initiatives that we feel will have long-lasting benefits to the brand, gives us great confidence that we will soon be returning to the growth profile that we have achieved during the past several years. Now, I'd like to turn it over to Keith Kinsey, our President and Chief Operating Officer to discuss recent initiatives on the culinary side of Noodles & Company as well as our recent new unit development.
Keith Kinsey: Thanks, Kevin. The pipeline and performance of our new restaurant development continues to be very strong. We believe that will be on the high end of our previously stated range for company development and we expect to open a total of between 48 and 50 restaurants during 2014. During the third quarter, we opened 11 additional units and through September 30 have opened 36 restaurants year-to-date. Our franchise partners opened four restaurants during the third quarter and have now opened nine franchise units year-to-date. We currently anticipate a total of between 10 and 12 openings during 2014. At the beginning of the third quarter, we completed our acquisition of 16 restaurants in the greater Indianapolis area from our franchise partner. The deal, which was funded through our existing credit facility, added over 300 staff members to our team, net of lost royalties will contribute approximately $15 million to net revenue on an annualized basis. Moreover, we are pleased with the real estate opportunity the acquisition affords us, as it allows us to be more effectively penetrating some of the smaller towns in Southern Indiana and Illinois, and we believe the transaction will be modestly accretive next year and beyond. During the third quarter, we opened our first two restaurants in Downtown San Francisco and are extremely pleased with our initial results in this key market. Over the years, we have spent a great deal of effort ensuring that as we enter our markets, we have optimized our kitchen design, operational procedures to accommodate the throughput necessary to be successful in central business districts. The team has done a great job in San Francisco thus far, executing some of the best transaction times in the system, where are we averaging at least, at certain times of the day, a guest every 15 seconds by utilizing our online ordering system and catering platforms to capitalize on this unique marketplace. As Kevin mentioned, brand awareness continues to be the largest barrier to trial and frequency for Noodles & Company, and developing in these large metropolitan areas, such as the Bay Area, will be instrumental in closing the awareness gap and lifting overall system average unit volumes. We continue to be pleased with the performance of our class of 2014 restaurants, which collectively have outperformed prior classes, due to the improved operations and marketing strategies, the introduction of our enhanced service model at dinner, and our discipline in mitigating risk through the development process. Our restaurants that are not in the comparable restaurant sales base achieved sales at 88% of the Company average during the third quarter, our best performance in almost two years. Moreover, we are beginning to see nice momentum in our 2012 and 2013 openings, which were heavily weighted towards the D.C. Metro area. As Kevin discussed, that market has begun to turnaround and these restaurants are returning to their historical maturity curve. On the franchise front, our partners continue to close the AUV gap with company restaurants, achieving comparable restaurant sales of 2% during the third quarter. Our franchise partners also opened our first restaurant in Greater Philadelphia, as well as additional restaurants in the Boston metropolitan area, continuing our strategy of increasing brand awareness in the important northeast part of the country with experienced operators who consistently create a dining experience we are proud of. I would like to shift gears a little bit and discuss some of our culinary and supply chain initiatives during the third quarter. As you know, the introduction of limited time offers is an important part of our business in building the brand and showcasing the breadth of our menu, while highlighting fresh seasonal ingredients within our restaurant. This October, we introduced our Fall LTO, which includes a hearty Buffalo Chicken Mac & Cheese as well as our Fig & Pig Flatbread, which is topped with caramelized onions, our naturally raised slow pork braised, crumbled feta and parmesan cheese, and then drizzled with a balsamic drizzle, and an Arcadian lettuce mix. Like we have discussed in the past, our limited time offers are not about a short-term traffic driver, but about enhancing the brand experience. And we are very pleased with the initial reaction from our guest and teams [ph] alike of the new offerings. We're also in the process of testing an antibiotic-free vegetarian fed chicken breast in several of our Colorado markets, restaurants, and later this month they'll be implemented. Utilizing the chicken breast is an important part of our commitment to high quality, healthy ingredients, and we're excited at the opportunity to further this commitment by offering another antibiotic-free vegetarian fed protein, just as we introduced our naturally-raised antibiotic-free vegetarian fed pork two years ago. Now, I'd like to turn the call over to Dave to discuss at more length our financial performance during the quarter.
Dave Boennighausen: Thanks, Keith. For the third quarter of 2014, we reported adjusted net income of $3 million or $0.10 earnings per share, a slight decrease from the prior year, but within our guidance range. Revenue in the third quarter increased 19% to $106.2 million due to an increase in the number of restaurants, including our acquisition of 16 franchise locations as well as a modest increase in comparable restaurant sales. In the third quarter, comparable restaurant sales grew 1.6% for company owned restaurants, 2% for franchise restaurants, and 1.7% system wide. Given the momentum we saw during the third quarter, we now anticipate comparable restaurant sales to be slightly positive for company-owned restaurants for full year 2014. For the full year, we continue to anticipate roughly flat EPS versus 2013. Although our restaurant level margins declined 230 basis points year-over-year to 18.4% during the third quarter, the decline was caused primarily by short-term transitory impacts, such as commodity inflation as well as the investments that Kevin mentioned in marketing and the promotion of our new catering platform. These investments, while they only represent approximately $1 million in total spend for the quarter, did put about 100 basis points of pressure on margin and $0.02 pressure on earnings per share. We do not anticipate contribution margin to increase year-over-year in the fourth quarter. However, we do anticipate that we will close much of the gap relative to what we saw in the third quarter. Also of note, I would like to discuss our recent acceleration in development and its short-term impact on our overall contribution margin. As we've discussed in the past, historically our restaurants that are not in the comparable restaurant base have earned volumes between 85% to 90% of our Company average with a 10% to 15% contribution margin or approximately 800 basis points below our mature restaurants. Historically, these restaurants have been roughly 20% of our overall portfolio and we've been able to overcome their dilutive impact to margins through the maturing of our comp base restaurants. However, given our recent increased development, instead of 20% of our overall portfolio being in the non-comp base, that figure rose to 25% during the third quarter. As Keith mentioned, the non-comp base is performing at a high level and is achieving our volume and margin targets. However, given they're a larger percentage of our portfolio, the non-comp base represented approximately 40 basis points in incremental dilution to restaurant margins in the third quarter compared with historical patterns. In the short term, we expect the continuation of modest margin pressure, but as we return to our long-term unit growth patterns and these restaurants mature, over the next several quarters, this should gradually become a tailwind for both comparable sales and margin growth. Turning to specific line items for Q3, COGS of 27% was 70 basis points higher than Q3 of 2013 as a result of modest increases in pork, dairy and shrimp ingredient costs, as well as the promotion of our new catering platform. This is in line with our expectations from the last earnings call, and we anticipate COGS will return to approximately 26.5% during the fourth quarter, given the introduction of this fall's price increase and less inflationary pressures relatives to the third quarter. In October, we overlapped 2013's 1.75% price increase and introduced a new 2% price increase coinciding with our limited time offer. Looking at 2015, we anticipate our pricing activities will allow us to substantially offset approximately 2% commodity inflation. Noodles & Company is fortunate to have a diverse basket of goods and our team has done a phenomenal job managing our cost for 2015. Consequently, we do not anticipate as large of an impact as many other concepts are seeing with increases in protein and dairy costs. However, the only commodity market that will impact us in the coming years is durum wheat which is the core ingredient for all of our pastas. Durum wheat prices have escalated significantly over the past few months. And although pasta is less than 10% of our overall basket, the increase we anticipate seeing in pasta costs is substantial enough that it accounts for nearly three-quarters of our overall expected inflation for 2015, which is essential, given our commitment to investing in high quality ingredients throughout our menu. In the third quarter, labor cost increased modestly 30 basis points to 30.3% due to slight deleverage on our average unit volumes as well as increased labor to support the launch of our catering platform. Operating costs were 13.8% in the third quarter, 90 basis points above the prior year due primarily to increased marketing spend, which at 1.3% of sales was 60 basis points above the prior year. We anticipate marketing expense between 1% and 1.2% of sales during the fourth quarter of 2014. Occupancy costs increased 40 basis points from the prior year in the third quarter to 10.5% due to the dilution of immature restaurants. However, this increase was 30 basis points less than the increase we saw during the second quarter as we saw momentum in the top line in both our new and comparable base restaurants. General and administrative expenses decreased 70 basis points to 7.1% of sales in Q3, as lower incentive compensation was offset by the approximate $300,000 to $400,000 of net incremental expense that we discussed at our last call for our all manager summit that occurs once every two years. This expense, which translates to nearly $0.01 of EPS, will not occur in 2015. As of the end of Q3, the Company had $21.5 million in debt outstanding on our credit facility, which includes the funding of our Indianapolis franchise acquisition. Our effective tax rate was 40.3% in the third quarter and we anticipate our full year 2014 tax rate to be approximately 40% to 41%. I would now like to turn to our thoughts on 2015 as it relates to our long-term growth objectives. As Kevin and Keith mentioned, our pipeline remain strong and we anticipate our unit growth next year to be in line or slightly above our long-term projection of 12% to 13% unit growth. For comparable restaurant sales, we do believe there is upside to our long-term algorithm, which calls for2.5% to 3% growth. Using recent results as a baseline but given the opportunity we see in catering as well as the overlap of this year's challenging weather in Q1, we anticipate comparable restaurant sales of between 2.5% and 4% next year. We anticipate adjusted diluted earnings per share growth in 2015 between 20% and 25% as we believe these positive developments will be somewhat offset by the atypical headwinds next year in both durum wheat prices and enactment of the Affordable Care Act. I would now like to turn over to Kevin for final remarks before we go to Q&A.
Kevin Reddy: Thank you, Dave. In closing, I have just a few short but important points I'd like to emphasize. The first is, I am pleased to see the positive impact of our initiatives on the business as they take shape, particularly catering. Our development teams from real estate through design and construction are running on all cylinders, giving me tremendous confidence in our growth targets and the long-term returns of the capital we deploy towards growth. I'm very proud of our ingredients in food, which offer significant choice that our guests can enjoy. The ability to eat healthy to indulgent and offer favorites from kids to adults remains an important strength of the brand. I'm also pleased with the level of objectivity, intensity, and rigor the team is displaying as we improve our daily execution of the dining experience. It must be all about every guest, every bowl, every time. And finally, I am confident that after a softer few quarters than anticipated, we are returning to the trends and long-term guidance we expect of ourselves. Right now I wanted to thank you for your time and let's open the lines for Q&A.
Operator: Thank you. [Operator Instruction] Our first question comes from Jeffrey Bernstein of Barclays. Your line is open.
Jeffrey Bernstein - Barclays: Two questions, one just looking specifically at the comp. I'm just wondering if you can give anymore color in terms of -- I think you said you're -- based on your most recent run rate, you are confident in the guide you gave for next year. So if you could just talk maybe about the sequential trends you saw through the quarter, maybe lunch versus dinner or week day versus weekend? And is it the weeknight dinner? I think you said that mid-Atlantic got better, but weeknight dinner I wasn't sure if you were saying that that had gotten better as well. So if you could just give more color on that that will be great. And then I have one follow-up.
Dave Boennighausen: Yes, absolutely. In terms of the trend throughout the quarter, Jeff, it was pretty consistent, not really much differences between what you saw during the first part versus the second part. And we're seeing some similar trends as we go into Q4. In terms of the day part and how that component breaks out, we did see a little bit of strengthening in the weeknight -- the weeknight occasion as well as a little bit of the weekend where those families are present. Again, it was a small percentage of our restaurants that we really saw being impacted by that. So in terms of the overall needle moving, not really entirely substantial, but the overall growth was pretty consistent across the board.
Jeffrey Bernstein - Barclays: Got it. And then just in terms of the restaurant margin, it seems like you're assuming some margin expansion as we look to next year. I think you mentioned, just to clarify, both from the commodity side I think you -- did you say that some price you set up to offset what you think will be 2% commodity basket inflation for the full year? And if so, just wondering what you've locked in there? And just trying to get a little bit more color on the labor side as well. I think you mentioned the Affordable Care Act. So just wanted to see what you - whether the 2% pricing is the full pricing you expect? And if that's what's driving the confidence around margin expansion next year?
Dave Boennighausen: Sure. In terms of margin, we did in the press really note that we expect about 19% to 19.5% contribution margin for next year. When we start to see it, there's going to be some offsetting factors. We expect to see certainly some accretion in the margin as we get new restaurants on their maturity curve, as well as deal with the price increase of about 2%. On the headwind side, we do expect that the Affordable Care Act is going to be about a 30 basis point to 50 basis point pressure on us. Really starting in July as when that comes into effect because our plan year runs from July until June. On the commodity basket, I'll have to turn it to Keith to maybe talk about where we're at in terms of contracting for next year.
Keith Kinsey: Yes, it's a great question. I think from a year-to-year perspective, the only difference from what we've been able to kind of lock up or get price on has been the last half of the year on durum wheat. We feel really good about what we've gone through the first six months. But as Dave talked about in his part, there is some kind of pressure on it right now and we are good through the first six months of next year and we're going to see how that pans out. So, from a standpoint of the rest of the basket, we feel pretty good about that it's implicit in what Dave has kind of forecasted in the overall inflation rate. So we're in that kind of range of anywhere from 70% of it being covered for next year.
Operator: Thank you. Our next question comes from Joseph Buckley of Bank of America Merrill Lynch. Your line is open.
Joseph Buckley - Bank of America Merrill Lynch: Can I ask one more on the sales number? Can you give us a sense of what the check and the traffic components of the Company-operated comp were?
Keith Kinsey: Yes, absolutely, Joe. So the comp was 1.6%. Again, our price was 1.75%. The overall menu mix shift that we saw there was roughly flat. So when you look at the traffic component, really just likely negative for the quarter.
Joseph Buckley - Bank of America Merrill Lynch: Okay. And then on the catering, could you elaborate just a little more sort of what you did this quarter? I'm not expecting the September quarter is probably a big catering quarter, but you can correct me if I'm wrong in it. So maybe just talk a little bit if you had any sales contribution. But more importantly, just describe in a little more detail what you did to set it up, how you started to create awareness about it and just sort of your confidence that you're gaining traction with it.
Keith Kinsey: Yes, sure, Joe. This is Kevin. Much of what we did and what we said we're going to do was the investments in the training, in the rollout, the merchandising within the four walls, really preparing the teams to execute at a high level. So we trained by market, rolled it out by restaurant and by market, put some branding inside the four walls as well as gave our teams the local store marketing materials to begin going out into their trading area, mining their fishbowl, and identifying and essentially building a book of clients. And that's really what took place. And as that has been growing, as we reach that end of that rollout, we started to see the targets that we indicated we thought we would in the fourth quarter. So again, it takes a while to build a book of business, get into the rotation of the businesses into the sports teams. That was taking place, and still really is in several markets that we just rolled out in the final month of the quarter. But what we are seeing is new orders, as I said, are larger than we expected. A significant portion of the folks want us to deliver and set up, so the dollars are slightly bigger, which is allowing us and giving us confidence that the guidance that we're giving for Q4, which really will be the first full quarter that we've had training in all the restaurants is comfortable within that 1% to 1.5%.
Joseph Buckley - Bank of America Merrill Lynch: Okay. And then just one more from me. Just on the enhanced dinner service, if you guys can update where that that is in terms of the number of stores, the number of markets that you offer in?
Keith Kinsey: Yes. When we started focusing on catering and made the choice to really ramp that up at a much faster acceleration, we put a pause on converting existing restaurants to the focus on the dinner program. We only were putting our PLUS Service in brand new restaurants. So it sits at about 30% of the system right now, Joe. It's in all the new restaurants we're opening. We believe that's accretive and one reason why the new class of restaurants are outperforming historical classes, because we've slowed it down really for the last six months and we'll probably let everyone keep digesting and staying more diligent on catering. We won't take it back up again until sometime in 2015. So I think our original rollout we thought would be done in 2015. That will -- that's going to end up trickling into 2016. So still like what we see. But we - I mean, there is a reality of what we want our teams to have to deliver and focus on as we're building a lot of new restaurants and we believe we can continue to space that one out.
Operator: Thank you. Our next question comes from David Tarantino of Robert Baird. Your line is open.
David Tarantino - Robert Baird: Hi, good afternoon. First, Dave, I wanted to clarify the comments about the trends to the quarter. I guess the simple math would suggest the second half of the quarter might have been closer to 2% or the first half of the quarter was 1.3%. So is that right? And then, I guess was the message to try to give there that that trend has carried over into the early part of Q4?
Dave Boennighausen: Yes. You saw the modest acceleration. It wasn't such a large difference between the first half and the second half of the quarter that I necessarily felt like calling that out. In terms of as we're seeing for Q4, we're not entirely comfortable giving the quarter-to-date results. We know we did that last quarter. We thought it was important given where the business was at the time, but the reality is how weather comparisons work out, how the promotions work out. We are comfortable at the momentum that we saw during Q3 and into the back half as carrying into Q4, but not comfortable necessarily putting a number into it.
David Tarantino - Robert Baird: And then, Kevin, I wanted to ask about, your reference that you tested some various marketing initiatives during the quarter and had some good learnings around -- especially the digital side. So, I was wondering if you could elaborate on what you're learning there and how quickly you might be able to implement some of those strategies as you move forward.
Kevin Reddy: Sure, David. I think you know historically we've really focused on tapping into our email -- our E-Club in that database which is a high correlation of our messaging converting to behavior. We dabbled a little bit more over the last quarter with a couple of different mediums. We did some more with ESPN. We did more with targeted digital messages and we did some messaging around healthy issues of 500 calories, some things targeted to men. We did a few more digital. We did some digital contests to see if those would incentivize guests, particularly around National Noodle Day, did a few old-school direct mailers as well. So we were -- actually, what we're learning is which mediums are working. We had very favorable click through rates and read rates. Some of our messaging was branding to really educate on the brand, so they weren't intended necessarily to be traffic driving. So I think what we're learning is what type of engagement we get from the different mediums, whether that be Facebook or particular path. So again, with different messages, different mediums, all with good engagement and high click through rates and some with some -- that actually drove traffic, others that we couldn't measure yet because they were brand messages.
David Tarantino - Robert Baird: And, as the idea here that if you find something that works, that you would increase the level of spending in that area or just reallocate spending and sort of spend the total amount or sort of percent of sales that you've been spending. I guess, is there an opportunity to kind of step on the gas pedal here or are you just re-allocating the dollars?
Kevin Reddy: Yes, it's a little bit of both, David. We are trying to look at what are the best messages for a new market without brand awareness, as well as the more mature markets that are experiencing some pretty heavy competition. So to the extent that we learn have better tactics and mediums, we'll reallocate to those. But at the same time, when we find something that works and get generates the right returns, it gives us the opportunity to incrementally spend. So we kind of -- we are evaluating both of those the things. We do want to make sure that -- we just don't want to throw money at something. We want to make sure that we are building brand awareness or driving traffic and that we can get a good return on those dollars. So I think we're going to stay with that macro philosophy with the intention of being able to incrementally invest where it makes sense.
Operator: Thank you. Our next question comes from Andy Barish of Jefferies. Your line is open.
Andy Barish : Two points just to flush out a little bit. You talked about the incremental restaurant level margin pressure from the -- I guess, the inefficiencies of new stores being a higher percentage to the portfolio. How does that sort of track just over the next several quarters? I think you said eventually it -- it actually becomes a tailwind for restaurant level margins next year. Is that -- did I hear that correctly?
 Jefferies: Two points just to flush out a little bit. You talked about the incremental restaurant level margin pressure from the -- I guess, the inefficiencies of new stores being a higher percentage to the portfolio. How does that sort of track just over the next several quarters? I think you said eventually it -- it actually becomes a tailwind for restaurant level margins next year. Is that -- did I hear that correctly?
Dave Boennighausen: Yes, I think, Andy, it will be more towards the back half of next year, because what you have is about 15%, 16% unit growth both this year as well as last year. So that 25% is going to hold and actually increase a little bit before it gets lower. So I would expect that 40 basis points that we saw in Q3 to see something similar for the balance of this year and then slowly wane off the first half of next year before becoming a tailwind towards the second half.
Kevin Reddy: I would add Andy, that the reason why we went - we just happen to end up north of the guidance is our teams has brought in such good real estate that met our screens both site characteristics, economic in the right markets that we felt they were -- they are definitely a very long-term decision. So short-term it makes a little more dilutive, but it really is about the long-term and having the right real estate and I suspect that having that kind of full pipeline allows us to be discerning and cut deals out. And I do think based on the months of operation and where those stores open, which are -- we try to get as close to mid-year convention as possible, but you dip a little bit more in the 4.5 months to 5 months of ops for a lot of those restaurants, it's going to be the second half of next year.
Andy Barish : And how would you characterize pipeline in terms of what type of market -- new market developing, and mature, I guess to use those phrases next year? Are there any differences or is it fairly similar to what's gone on recently?
 Jefferies: And how would you characterize pipeline in terms of what type of market -- new market developing, and mature, I guess to use those phrases next year? Are there any differences or is it fairly similar to what's gone on recently?
Keith Kinsey: Andy, this is Keith. It's pretty consistent with what we've been seeing in the past years and this year, maybe a little bit more skewed to some of the mid-markets, but in general, ones that we have a lot of confidence in. We have some units there, so we're going to be leveraging both the G&A and brand awareness building. So, I think you're going to see a lot similar to this year, with maybe a little bit more skewed to the markets in the middle that we feel really comfortable are going to make their way up to the more the kind of the proven markets.
Dave Boennighausen: Yes, it's an exciting time for us, Andy, because we have -- as Kevin mentioned earlier on the call, brand awareness is ultimately what has distinguished our top performers from our lower performers and we're going to be able allocate a lot of the openings next year into some of those markets where right now our brand awareness is relatively low, but we do have a presence as it sits right now. It's where we will be able to build upon the low brand awareness we have now and start to unlock some prior awareness and trial.
Andy Barish : And just finally from me on the D.C. side of things, you mentioned some operational changes or improvements? Can you give us a little flavor as to sort of what's gone on there with all the growth the past couple years? Is it just getting the teams in place and stabilized or are there other specifics that have gone on in the D.C. market?
 Jefferies: And just finally from me on the D.C. side of things, you mentioned some operational changes or improvements? Can you give us a little flavor as to sort of what's gone on there with all the growth the past couple years? Is it just getting the teams in place and stabilized or are there other specifics that have gone on in the D.C. market?
Dave Boennighausen: Well, I think a lot of it's going back. We really used out there and particularly the team really used catering as an opportunity to refocus a lot of what we do from a core perspective. We're able to get a lot of really good people through the training system, drill the holes that we had there in the past. And I think both elements brought the real -- we kind of refreshed to how we do our food and our procedures, some the operational changes that we made from an efficiency perspective, our ability to bring in some really high quality people as we grow out there. All those combination things that happened in addition to doing it while we had catering, kind of a new thing that really got everybody energized. I think those really pulled the team together and have great focus operationally.
Kevin Reddy: I think some of the simplification stuff, Andy is it's really encouraging what we're seeing in California, where we had a 10th of a gram or something different in recipes or two extra sprouts or something. We built these things with real chef inspired intention, we looked at where we could make a positive difference for the guest, but make it easier for ops in both recipes and simplifying and organizing prep and even some of the new bowls that are in test. And I'm really impressed and Keith mentioned this and I think it's worth saying again. In California with a brand-new team, in San Francisco, the ability to get to $2000 hours, roughly one guest every 15 seconds and 250 transactions is a big deal. And to do it within our operating metrics, with a new team at that volume is encouraging. And if those -- if we can continue to hold that kind of performance with the initiatives behind continuing to balance what the, inspiring the guest and making it efficient for our teams, we'll begin to roll those things out in a lot of our current markets.
Operator: Thank you. [Operator Instructions] Our next question comes from Nick Setyan of Wedbush Securities. Your line is open.
Nick Setyan - Wedbush Securities: It's good to hear some of the improvement in the newer stores. But I do want to kind of get a clarification on the expansion of delta between average weekly sales growth and the comp this quarter and I think it's almost 2.5 times the size of that delta in Q2. So can you just kind of walk us through why there is such a big gap between the two, particularly as these newer stores have begun to perform better, just like timing of openings, the franchisee acquisitions? Some clarity on that would be great?
Dave Boennighausen: Sure, Nick. So the first one I point to you is actually that acquisition. Those restaurants are performing at a pretty high level. At the same time, they are at about that 88% of company average as well. So as we picked up those 16 restaurants, the actual company AUV got diluted a bit. That's your number one reason. And then the timing of new restaurants; how many we have this year versus what we had the prior year? We would look for that gap to certainly close over 2015. I would also point out that when you look at the new restaurant development, as we open more restaurants in the San Francisco Bay area and some of these urban locations, you'll also see a natural kind of progression in the AUVs as we penetrate those higher traffic markets.
Nick Setyan - Wedbush Securities: Great. And then just a couple more clarifications on the COGS for next year. I think the commentary implied that we expect sort of flat COGS versus this year and then there was some additional commentary about the extra inflation we're seeing from I guess the wheat side. So just to kind of be clear, do we expect flat COGS next year versus this year?
Dave Boennighausen: Yes, it should be approximately flat.
Nick Setyan - Wedbush Securities: Okay. And then the last question...
Dave Boennighausen: Sorry. [Indiscernible] It is a fluid situation right now with durum wheat. So, I would -- that is somewhat of a preliminary look. We'll give more texture certainly on our next earnings call, but right now our best knowledge will be that it would be approximately flat.
Nick Setyan - Wedbush Securities: Okay. And then just a last clarification. The comment was that comps -- quarter-to-date are turning about in line with Q3. Is that inclusive of sort of the 1% to 1.5% benefit you're seeing from catering? Are we looking at it from a two-year basis? Because I know the last year's Q4 comparison gets a lot harder and are there some holiday shifts we should be aware of in Q4?
Dave Boennighausen: Yes. I'd say that when you look at the comparison for Q4, certainly, it's a tougher comparison than what we saw in Q3. I guess the most level of disclosure I'm comfortable giving is that we would expect that 1.6% that we saw in Q3 to have a similar number in Q4. So you would ultimately see an acceleration in two year growth as we get the benefit of catering, but that being offset by just having tougher comparison.
Operator: Thank you. Our next question comes from Andrew Strelzik of BMO Capital Markets. Your line is open.
Andrew Strelzik - BMO Capital Markets: You made the comment that the improvement in DC took place over the last couple of weeks. Just wondering did you actually get any benefit from that in the quarter or was that all subsequent to the quarter? And then you made the comment that the dinner trends were not really a needle mover, I'm just wondering if you could put some context around the trends in DC in that context as well?
Kevin Reddy: I'll comment on the first part and let Dave comment on the second. The improvements that we've been seeing in DC we've seen post quarter and because they were really were the results of the progress of the work that took place during the quarter. So it really didn't influence the Q3 results.
Dave Boennighausen: Yes, absolutely. In terms of the dinner daypart in general, the prices [ph] have done a little bit better job clarifying in the last earnings call, but it was a small percentage of our restaurants that we're really seeing the negative impact in that dinner daypart in the family occasion and those are as Keith - or as Kevin mentioned, the ones that kind of have the development with the brick-and-mortar type retailer. So really, isolating those, what we saw was by utilizing the campaigns that Kevin talked about with catering, also direct mail, messages, some things with our e-mail club as well. From a numeric perspective it's such a small percentage of our restaurant, but it didn't necessarily be a big mover of the needle in terms of getting us back up to 1.6%. But it was a small factor.
Andrew Strelzik - BMO Capital Markets: Okay, great. And then I heard -- I think you made the comment that in the fourth quarter there is going to be a bit of a step up in terms of the marketing. But did you talk about the 2015 marketing in terms of sales as a percent of sales?
Kevin Reddy: No, we have not yet.
Operator: Thank you. Our next question comes from John Glass of Morgan Stanley. Your line is open.
Jake Bartlett - Morgan Stanley: This is Jake in for John. I just had a question on the kind of the growth algorithm that gets you to the 20% to 25% EPS growth next year. When I think about restaurant level margins, it looks like that guidance that couldn't actually be flat. I'm not sure, and maybe if you could provide your kind of what you expect for 2014, but it looks like that could be flat. So I'm trying to figure out really what drives the leverage? Is it something in G&A or some other part that I'm missing?
Dave Boennighausen: Yes, I think it's actually how we've talked about it over the last couple of years is that, given the amount of new restaurants that we have in the portfolio, which typically has been around 20%, now it's at about 25%.Ultimately restaurant level margins were still at the size of the growth that we don't really anticipate a lot of leverage there as we run the 2.5% to 4% comp. So the leverage side would be anticipated on G&A side as well as a little bit on like the depreciation and those types of line items.
Jake Bartlett - Morgan Stanley: Okay. And the question is relevant for fourth quarter as well. It sounds like you still expect restaurant level margins to be down year-over-year in the fourth quarter, the top line, we would kind of have a sense of that. But if you were to get to your guidance, it looks like 20%, 25% -- closer to 25% EPS growth in the fourth quarter. Is that -- are we getting a lot of G&A leverage there as well, what's driving that?
Dave Boennighausen: What you'll see is as we narrow the margin gap, those new restaurants are ultimately accretive to Q4. So that's part of it as well as what we anticipate to be leveraged on G&A, not just in the most recent year in Q4, but also for the next couple of years as well.
Jake Bartlett - Morgan Stanley: Okay. And then a question about development. It looks like your guidance is in keeping with your long-term growth rate. But it is -- it looks like it's stepped down from absolute numbers of units in 2015 versus 2014. Was 2014 a particularly -- why was 2014 a particularly strong year for development? And when you think about the growth in 2015, how should we look at Company versus franchise? Has franchise come back down a bit in terms of company-owned, maintained and kind of an increasing rate? How should we think about that?
Dave Boennighausen: I'll let -- I'd love for Kevin or Keith to chime in as well. I think from a total units perspective, we'd actually anticipate something similar in 2015 than what we saw in 2014. On the franchise versus Company side, as you guys know, we have significant ADAs in some of the major metropolitan areas. As those get built out, they might end up with a slightly higher growth rate than what we see. Also with the acquisition of the franchise restaurant, the base is smaller. So you end up with a larger percentage growth coming from the franchise side.
Keith Kinsey: Yes, and this is Keith. On the franchise side in particular to Dave's point is, we're seeing their pipeline to begin to get stronger. The bigger guys are beginning to fill out their ADA and get those restaurants and pipelines together for 2015. And like Dave said on the Company side, 2014 was a solid year. We've got an anticipation of pretty much in that same range for 2015. But we'll go back to our guidance we've always given as far as growth.
Operator: Thank you. I'm not showing any further questions in queue. Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a great day.